Operator: Good day, and welcome to the Alliance Resource Partners Fourth Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode.  After today's presentation, there will be an opportunity to ask questions.  Please note that this event is being recorded. I would now like to turn the conference over to Brian Cantrell, Senior Vice President and Chief Financial Officer. Please go ahead.
Brian Cantrell: Thank you, Tom, and welcome, everyone. Earlier this morning, Alliance Resource Partners released its fourth quarter 2020 financial and operating results. And we'll now discuss these results as well as our perspective on market conditions and outlook. Following our prepared remarks, we'll open the call to your questions.
Joe Craft: Thank you, Brian, and good morning, everyone. I'd like to open my comments this morning by reflecting on the extraordinary performance of our people in 2020. We entered 2020 anticipating significant growth in our Minerals segment, while at the same time, prepared to manage challenging coal markets due to low natural gas prices, tepid coal demand and an overhang of coal supply. None of us, however, could have anticipated the COVID-19 pandemic and its devastating impact to energy demand. As we have always done, the entire Alliance organization met these unprecedented challenges head on, rapidly responding to safeguard the health and safety of our people, protect our balance sheet, support our communities and operate prudently as an essential supplier to our customers to help ensure the reliability of the electric grid so critical to the markets we serve. Despite the disruptions encountered during the year, our teams performed at the highest levels across the entire organization, including our coal mines delivering the best safety record in the history of Alliance. The effectiveness of their response clearly demonstrated their flexibility, resilience, innovation and determination to succeed. For their dedication, commitment and all that they accomplished during such a tumultuous year, I extend my sincere appreciation. We entered 2021, hopeful that economic activity and energy demand will continue to improve as vaccines become more available. In the U.S., increased power generation and higher natural gas prices point to the possibility of gas to coal switching and projections of increased coal demand in our primary markets. Conditions are improving in the international markets as well. Cold weather across Europe and Asia, sharply higher LNG prices, a weakening U.S. dollar and supply disruptions related to trade disputes are all supportive of potentially increased participation by U.S. producers in both the thermal and metallurgical export markets. Consequently, ARLP continues to target a 10% year-over-year increase in total coal sales volumes this year. During the 2020 quarter, ARLP contracted for 4.1 million tons of coal sales to be delivered in 2021, lifting our commitments to 78% of anticipated coal sales at the midpoint of our guidance for this year. While pricing for the newly contracted tons were greater than published spot prices, they were mostly lower than the expiring legacy contracts. As a result, we currently anticipate ARLP's 2021 average coal sales price per ton to decline approximately 4% to 8% from last year's average.
Operator: We will now begin the question-and-answer session.  Our first question comes from Lin Shen with HITE. Please go ahead.
Lin Shen: Hi, good morning. Thanks for taking the call.
Joe Craft: Sure.
Lin Shen: Two questions, Joe and Brian. First is, maybe you can talk a little bit about with the new administration, we heard a lot of discussions that there's going to be more project for wind and solar for the utility for the energy. So what are your expectations for like your customers closing profile of the alternate energy, so that your demand is going to stay small, not only from natural gas, but also a lot more from their alternative energy?
Joe Craft: Well, it's our view that in the energy space, we're talking about really some long-term planning that needs to be made. Obviously, policy decisions made by government can influence those decisions and those plans. But when we assess the demand for coal and the length of the power plants that are going to be operating over the next two decades, we find it hard to believe that these policies are going to change much. I find there's very many contradictions in the policies that are being advanced right now, because on the one hand, they want to put a stop to building pipelines, they want to put a stop to building natural gas plants, and I don't know how the administration can close other base load generating units without replacing those with base load units. We all know the technology for wind and solar is not available today to operate as a base load operator. The transmission systems are not designed to operate with intermittent power supply. So the vision that they articulate, and unfortunately, it seems like it's more sound bites than it is a vision, is not -- it's a very complex situation, and it's not going to happen overnight as much as they are aspirational in their goals. So I can't find anyone that's been in the energy space that would suggest that the articulation of a 2035 target for fossil neutral power generation is realistic. So as we think about our business, will it -- would we prefer to have more pro-energy policy? Yes. But the practicality of the situation is such that the demand for our product is still going to continue to be needed for the next two decades.
Lin Shen: No, no, no. That's good. I mean, second question is you just mentioned that in April you might resume the distribution. I guess I'm trying to ask like in your opinion paying dividend is still a better way to return capital or share buyback? Or what is your view?
Joe Craft: We're going to look at all ways to utilize capital allocation, but we do believe that returning distributions is major reason why a lot of our unit holders are in the units. And so we feel that, that's an expectation. And that is a definable return of capital where shareholders can participate or anticipate exactly how they look at their total return when they try to evaluate investing in our company. So we believe that, that's one critical element in shareholder return. Share buybacks is another. We still have some authorization. So that's a possibility, paying down debt, buying back bonds, as a possibility, investing in growth assets. Everything is on the table as far as trying to grow our shareholder value.
Lin Shen: Great. Thank you very much. I appreciate it.
Operator: The next question comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Hey, good morning, Joe. Good morning, Brian.
Joe Craft: Good morning.
Lucas Pipes: I wanted to focus a little bit on the export opportunities here at this juncture. To what extent would you say this market is open or opening up? And to the extent it comes to your outlook for 2021, where would you say are the pockets of potential upside from a strengthening export market? Thank you very much.
Joe Craft: We entered the year really not anticipating much volume in our export market. So, I think I mentioned in October, we had essentially all of our growth in sales was anticipated to come from the domestic market. And notwithstanding, I think, the export markets have been influenced by a couple of things. The biggest thing being the China Australia dispute and how that's disrupted flows of coal in particular, both in the metallurgical arena as well as the thermal market. So currently, that dispute has created opportunities for U.S. producers, and we took advantage of that booking some tons that are more in the metallurgical space, not necessarily metco because we have a PCI coal at our MC operation in East Kentucky. So, we booked around 400,000, a little less than that or a little more than that from that region, and we were able to book a little less than 1 million tons out of Illinois Basin region for thermal opportunities, where we saw the physical market be a little bit higher than the API-2 market, and we've been able to take advantage of that to book that volume. Even though we've seen some volatility in the API-2 market over the last two to three weeks, the physical market continues to be making inbound calls. So, we're continuing to feel positive about that market, but it's hard to answer your question of whether that it's sustainable or not or whether all of this demand is really a result of the Australia and China dispute and how the coal flows that have been disrupted as a result of that. So, we're taking an opportunistic approach at this moment in time. And if we can be able to transact at prices that we feel are attractive then we will do so. As far as thinking in terms of projecting that this is going to encourage us to bring on more supply and believe that it's sustainable, we're not there yet. So we will continue to evaluate that market and see what happens because nobody knows, at least, I don't know whether the Australia and China, this people get resolved tomorrow or five years from now, I just don't know. So, we're taking a cautious look, but we're being opportunistic in where there's opportunity to capitalize on that, if it's attractive prices, we'll do so.
Lucas Pipes: Very helpful. And just a quick follow-up on this. The export thermal export met coal tons that you referenced just now. When were those booked? Was that something that occurred over the last one month or three months just that could maybe help us get a sense for --
Joe Craft: I would say, somewhere as late as last week, and the earliest was probably middle of November forward.
Brian Cantrell: That's about right.
Joe Craft: Yes. So just when you compare to what we had last year, I mean, last year, we were about 950,000 tons, a little over 500,000 in Appalachian and 400,000 in Illinois Basin. So we've already exceeded that. As and we're also a little bit more on the metallurgical side, where we do feel that, that has more sustainability. And so we are targeting to sell about 700,000 tons into that market more. So we've already booked a little over 100,000 tons into that market. So, we're looking to sell another 700,000 this year compared to last year. It was around 450,000 or something.
Lucas Pipes: And that would be embedded in your 2021 outlook as well?
Joe Craft: Yes. The sales targets for is embedded in our guidance.
Lucas Pipes: Very helpful. Thank you very much for that. And then when I look at 2021 capital expenditures, it looks like you're running at very efficient levels kind of when I think about the capital budget over the last few years. How would you describe the 2021 spending levels? Is that an adjustment to a lower price environment that's more temporary? Or would you say this is a level that you could sustain for the coming years? Thank you.
Joe Craft: So, we benefited in both '20 and '21 by having excess equipment from mines that were closed. So, when we went from 40 million ton producer a 27 million ton producer. Obviously, we idled Gibson North and we idled a couple of units at other operations. So, we've got effectively some excess equipment that's benefiting that number. I think over the next -- if we stay at this production level, and believe we can sustain this for another year or so. And then we'll see.
Lucas Pipes: Got it. Got it. And then one last one for me. Just so back to Lin's question and your response that you might consider investments in it sounded like alternatives as well. Could you narrow that down, where you think you'd kind of be the most -- what would be the most natural extension? I hear you that you're a supply of energy. I'm just curious that -- it's a very broad space, obviously, that's still evolving. And where do you think you'd fit in if you decide to further explore any opportunities there?
Joe Craft: It's a little premature to discuss that publicly. I can tell you that we are in the process of establishing internal teams, and we haven't decided whether we're going to be at five different areas of investigation or seven. We've already started investigating two or three, but we have identified different areas where we've got core competencies that we want to explore. And then we're looking at just the increased demand of you name it, whether it's transmission to batteries to battery storage to all kinds of different technologies in the space that if truly, the EV market moves as fast as it does, there's plenty of opportunities to do things on the EV side. So we're trying to determine where best we fit, whether it's on the power side, whether it's on the EV side, whether it's in royalties and trying to expand royalties beyond just oil and gas and coal. I do think in terms of using those skill sets we have. So, there is a plenty of people out there investing and trying to find ways to get returns for the shareholder. I mean, just look at all those facts that being created. So, we're not setting up the spec, but I guess we can start thinking, and we've got our own spec that we got this cash flow coming in what we can do with it. So, we're looking at a little bit of everything.
Operator: The next question comes from Shelly McNulty with Loomis Sayles. Please go ahead.
Shelly McNulty: First, going back to you were talking about base load power. I just see the better understanding, like bigger picture, kind of what percent of the total power is considered base load and how does that translate to how many tons of coal would be needed to stay in the base load, given that you kind of talked about the solar and wind aren't capable of supporting steady state base load power supply? That's my first question. Second question is on the expansion outside of coal, natural gas into other forms of energy. Just wondering how you plan on financing that? Is utilizing new forms of financing, such as like transition bond, is that something you're considering? Or would it be done under the current financing you have in place, like your revolver or whatnot? Thanks.
Brian Cantrell: I'll take the last one first. I think financing will be a key component. So of that decision, our focus right now is, as we think in terms of having free cash flow going forward how do we allocate that. And right now, we would be looking in that arena, but then financing is a critical component. So if banks or other lenders are going to finance any of this growth, we're going to try to understand what financing is available and see if we can capture some of that and maybe use some of our cash flow just as equity if you want to think of it in that way than it might be outside of our bank groups, it might be in. We haven't advanced it that far to have those discussions. Back to your first question, you really got to look at it regionally, but the simple part of what I was trying to say is when you think of the way the grid is designed, it is designed for base load generation, meaning that generation is feeding the power lines on a very consistent basis, minute-by-minute with no interruption, and it allows the charge through the transmission to allow the transmission of those electrons to be efficiently delivered. I've been advised that once you get to 30% or more of interruptible power that is going through those transmission lines, it complicates the efficiency of those transmission lines and therefore, requires some reconsideration of how much capital is needed to be spent to assure that the American public receives what they want, which is when they walk in a room and turn on the switch, the lights go on without interruption, without round outs, without unreliable electricity. So, we all know that today, if you try to charge the grid with the unreliable energy of intermittent power, the grid would not function the way we are used to and expect. So without, again, this topic could take two or three hours to get into the weaves region by region. But in theory, in practice, what I was meaning is once you get to a certain scale with reliable -- with the non-reliable energy products of solar and wind, you've got to have transmission upgrades, you're talking trillions of dollars depending on how wide spreads you want to make that and how fast you want to make it, so all that has to be taken into consideration on the timing of how people shut down base load generation.
Shelly McNulty: Okay, got it. And then though I appreciate the fact that you could talk about it ad nauseam, and I actually think it's probably would be good for you to put these kind of comments out there and educate people on things that aren't being talked about, like you said, there are only like snippets of information and somehow get I think more education, the more nitty-gritty you guys can provide and supporting these statements, actual facts might give a little bit more support to the core industry overall.
Joe Craft: So, we do belong to an organization called Americas Power that is trying the best to educate the American public on that subject. So, we just need to someone like you that are interested to understand it. So, we're out there trying, but I take to heart your comments. They're very well-founded and I agree 100% with what you're saying.
Shelly McNulty: So I don't know, maybe you guys should start a Reddit group or something to talk about.
Joe Craft: Maybe, that's good idea. I don't really understand it. I think it's a good idea. It seems to move markets, I don't know.
Operator:  Our next question comes from Joe Pisano , who is a private investor. Please go ahead.
Unidentified Analyst: Yes, I know in my area, there's a large institution, that there's a big demand for power, say in the winter gets really cold -- because they're build. They're gas and oil, natural gas, and they're told, you better switch to such and such because you don't have enough natural gas might do. Now this is not a small scale. How is the notion so how they start starting closing down pipelines and stuff?
Joe Craft: I'm not exactly sure. Yes, obviously, we know natural gas has been a transition fuel. It needs to continue to be. If the vision is that we can get to a non-fossil fuel environment, then you still have to rely on fossil fuels and nuclear to bridge to that technology. And it just is not going to happen overnight. Unfortunately, I believe Biden administration knows that. I don't know why they just can't say the truth on that.
Unidentified Analyst: That's my point. If this do it like in my city going to do this nationwide, if you closing on pipelines and everything, how -- good work?
Joe Craft: Well, they say, they rounded political game for a little while. And they always -- one of the comments that I always hear is it's really different to campaign and govern. So at some point in time, you got to stop the campaign and you guys start governing. And I don't think that Biden Administration has moved from campaigning to governing. So I think the point you're raising, it's a lot harder to have these aspirational sound bites that meet campaign premises is a lot difficult when you start implementing those and determining whether they're realistic. There was an article that I read last night that was published by CNBC from the guy by the name Eric Rosenbaum that goes through the Biden's climate change plan in the battle for America's most threatened workers, but it's interesting because it gets into the complexity of how you can transition overnight and all the unintended consequences by that if you don't think through the steps that it takes to get to where you want to go. And what I'm hearing you say is that we're starting -- you're asking the question from a practical perspective, how can you one day move from one fuel to the next when you see examples where it just physically is not going to work. And I'd like to believe that when the bit administration starts to truly think about executing on their strategy that they'll be grounded in the practicalities, and they're not going to allow the lights to just go off or to not to get heating oil or fuel that will impact people's lives, but time will tell.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Brian Cantrell for any closing remarks.
Brian Cantrell: Thanks, Tom. We appreciate everybody's time this morning as well as your continued support of and interest in Alliance. Our next call to discuss our first quarter 2021 financial and operating results is currently expected to occur in late April, and we hope you'll join us again at that time. This concludes our call for today. Thanks to everyone for your participation.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.